Operator: Okay, it's on time. So I would like to start the performance briefing of the TDK Corporation on the First Quarter FY in March 2025. Let me introduce today's speakers and attendees Senior Executive Vice President and Corporate Officer, Tetsuji Yamanishi; Corporate Officer, Fumio Sashida; Corporate Officer, Taro Ikushima; and Corporate Officer, Takao Tsutsui.
Tetsuji Yamanishi: Okay, thank you very much everyone. Okay. I'm Yamanishi and, first of all, thank you very much for taking time out of your busy schedule today for joining us in the business performance, the briefing for the first quarter of the fiscal year March 2025. First of all, I'd like to now give an overview of our consolidated business results. First of all, I will explain the highlights of the first quarter results. During the first quarter, the global economy remained unstable with the continued strength in North America and the signs of economic recovery in Europe, while China continued to show economic slowdown and the uncertainty in the Middle East also had an impact. In addition, the yen continued to depreciate significantly against the U.S. dollar and euro. In the electronics market, which affects our business performance, the production trend for ICT related products such as smartphones and notebook PC showed a recovery trend on a year-on-year basis due to increase in replacement demand and so forth. Besides, demand for nearline HDDs for data centers is also clearly recovering. On the other hand, in the automotive markets, demand for the battery EV showed signs of slowing down, resulting in a lower demand for components than we had expected at the beginning of the period, resulting in a 3.1% increase in our first quarter sales. Sales of rechargeable batteries, passive components and sensors increased due to a recovery in the demand for the components in the ICT market, while a slowdown in the sales of battery EV led to slow down in the sales growth of passive components and sensors for the automotive market. Consolidated sales of the medium sized batteries for that industrial equipment market decreased from the year earlier due to the fully shifting of the business to that JV from the current fiscal year, while the sales of a passive component and sensors declined. Operating income increased 120% year-on-year due to the significant depreciation of yen and increased sales of products for the ICT market, as well as the effects of streamlining and structural reforms implemented in the previous fiscal year. Next, I will provide an overview of first quarter business results, including the impact of exchange rate fluctuations of approximately ¥53.8 billion on net sales and ¥11.1 billion on operating income. And net sales increased by ¥15.4 or 3.1% year-on-year to ¥518.8 billion. Operating income increased by ¥31.6 billion, or 120%, to ¥57.9 billion. And income before income taxes increased by the ¥48.6 billion, or 3.3 times from that year earlier to ¥69.6 billion, including approximately ¥8 billion and foreign exchange rate – exchange gains. Net income was ¥59.6 billion, or about four times as much as the year earlier. Earnings per share is ¥157.15. As for the sensitivity to exchange rates, we estimate that a ¥1 change in the yen-dollar exchange rate will result in an annual impact of approximately ¥2 billion. ¥1 change and the yen-euro exchange rate will result in an annual impact of approximately ¥300 million, slightly lower than last year. Next, I will now explain the first quarter results by segment. First, I start with the Passive Components. The sales were ¥143.1 billion, a slight increase over 1.6% from the previous year and operating income was ¥13.9 billion, a slight decrease of 1.5% due to continued sluggish demand in the industrial equipment market and a slowdown in sales to the automotive markets including the battery EV vehicles, despite increased sales to the ICT market, including smartphones. The sales and profits of ceramic capacitors decreased due to the lower sales to the industrial equipment market and increased fixed costs in response to increased production, despite higher sales to the automotive markets. And the sales and the profits of aluminum film capacitors decreased due to lower sales to the industrial equipment market and the automobile markets. Sales and profits of inductive devices increased due to favorable sales to the automotive and ICT markets, while the sales and profits of higher frequency components increased due to higher sales to the ICT market and improved profitability. By ease of electric material components and the circuit protection components recognize that the lowest sales due to lower sales to the automotive markets but higher profits due to foreign exchange gains. Next, the Sensor Application Products. Net sales were ¥44.1 billion, up by 13.6% from the previous year and operating the performance turned to be the loss of ¥700 million. Sales of temperature and pressure sensors increased due to higher sales to the automotive industry but income decreased excluding the one-time gain from the sales of assets in the previous year in the MEMS Sensor business while the profitability and in the microphone improved due to increased sales and ICT markets, overall, sales and profits of MEMS Sensors. So now – also MEMS Sensors and also the motion sensors have been gesture and slugging [ph]. So about the motion sensor and for industrial equipments. Next, the Magnetic Application Products business, net sales were ¥55 billion, a significant increase of 43.9% from the previous year. And other operating income was positive, including a one-time gain of approximately 3 – ¥2.3 billion from HDD heads and HDD heads suspensions demand for nearline HDDs for data center increased by 1.5 times year-on-year and HDD heads and suspensions as a whole returned to be the profitable even under the basis excluding one-time earnings as I mentioned earlier. Although, heads sales volume was 1.9 times that of the same period last year, it was slightly below that the breakeven point volume after the restructuring, leaving that the company slightly under the red excluding one-time gains, but suspension sales volume exceeded the breakeven point volume and returned to be profitable. Magnet sales declined due to lower sales through the automotive markets, but profitability improved. In energy applied products, sales declined by 4.4% to ¥262.9 billion, while operating income increased by 71.9% to ¥55.3 billion. In the rechargeable battery business, sales volume of small batteries for smartphones and other applications increased due to higher demand in the ICT market, but on the other hand, sales decreased due to the impact of lower selling prices resulting from the falling material prices and a decrease in our consolidated sales as a result of the completion of the transfer of the business of the medium sized batteries to the joint venture. Overall sales decreased slightly from the previous year. On the other hand, operating income increased significantly due to the increase in volumes, rationalization effects and foreign exchange gains. Both sales and profits of power supplies for industrial equipments declined due to lack of recovery and demand for the industrial equipments, while profitability of a power supplies for EV's improved despite the lower sales. Next, I will explain the variance in sales and the profit from Q4 last year to Q1 this year. First, passive component segment. Sales increased ¥4.5 billion, or 3.3% from Q4 and OP increased 30%, excluding one-time expenses of ¥7 billion incurred in Q4. As for ceramic capacitors, sales volume fell mainly due to a decline in demand for BEVs and a profit fell due to a decrease in sales volume and increase in expenses for increased production. As for aluminum film capacitors, sales and OP increased despite lower sales of automotive. Thanks to higher demand, mainly in the industrial equipment market related to solar or photovoltaic inductive devices saw an increase in sales in all markets, resulting in higher sales and profits. Sales and profits of high frequency components and piezoelectric and the circuit protection components remained almost unchanged. In sensor application products, sales fell by ¥1.1 billion, and OP declined slightly. Sales of magnetic sac sensors increased slightly due to increase in sales to the smartphone market, compensating for lower sales to the automotive market. However, OP remained flat due to increase in fixed costs in response to increased production. In MEMS sensors, sales of microphones for the ICT market increased while sales of motion sensors for drones and automotive markets decreased and losses decreased due to improved profitability of microphones. Next, in the Magnetic Application Products segment, sales increased by 6.1% to ¥3.2 billion and operating profit increased significantly. Excluding onetime cost of ¥4.7 billion in Q4 and a one-time gain of ¥2.3 billion in Q1. Because of the recovery of nearline HDD, [ph] the volume increased by about 9%. Well, thanks to the recovery of the – in total demand for in nearline HDD. Sales of HDD heads increased by 9%, sales of nearline HDD heads increased by 26%. Sales volume of suspensions increased by 2% [ph], leading to overall increase. The Magnets business was able to reduce the amount of losses year-on-year. In the Energy Application Products segment, sales increased by ¥24.7 billion and OP increased by ¥12.9 billion, excluding one-time cost of ¥2 billion recorded in the fourth quarter. In rechargeable batteries, sales volumes of small batteries to the ICT sector increased due to higher demand and higher spot orders related to customers new product launches, while sales and profits from mid-sized batteries also increased due to an increase in sales to e-bikes. Sales and profits of power supplies for industrial equipment decreased while losses of power supplies for EVs were reduced year-on-year. Next, variance analysis for the increase in OP of ¥31.6 billion in Q1 will be explained. First, sales factor was positive ¥12.2 billion including increase in sales volume of rechargeable batteries, increase in sales volumes of HDD heads and suspensions. The decline in OP of ¥4.8 billion, due to selling price fluctuation was offset by the benefit of cost reduction and the restructuring of ¥10.2 billion. SG&A expenses decreased by ¥2.9 billion, including ¥2.3 billion in one time gain in HDD heads. FX impact was positive, ¥11.1 billion, resulting in an overall increase of ¥31.6 billion. Next, I would like to explain the projections by segment for Q2 this year. Q2 foreign exchange rate assumption is ¥140 to the U.S. dollar unchanged from the beginning of the fiscal year. For the sake of comparison, however, I will explain the impact – the performance. Excluding the FX assumptions in passive components, sales to industry equipment are expected to remain sluggish, while sales to automotive market should increase slightly. Sales to ICT market increase, especially in inductive devices, leading to an overall growth of 2% to 5%. In sensor application products, sales of temperature and pressure sensors are expected to increase. For the automotive market, sales of magnetic sensors for smartphones are expected to increase significantly due to seasonality, and the sales of MEMS sensors are expected to increase by 13% to 16% due to an increase in microphones. Next, in magnetic application products, HDD production volume is up 5% and the near-line HDD production volume is up 8%, that's the assumption. The expectation is a solid performance in HDD heads and suspensions. Magnet sales are also increasing. All in all, 0% to 3% growth is expected. Finally, energy application products. Sales of rechargeable batteries, small ones for smartphones, are increasing dramatically, partly due to seasonality. Sales of medium sized batteries for ESS also increase. Sales of industry power supplies are declining due to continued weak demand. Sales of power supplies for EV's for automotive sector are increasing. Overall, the segment is expected to grow by 21% to 24%. Finally, I would like to explain our full year forecast for FY 2025 ending March 2025. Although we expect first and second quarter results to exceed our initial forecasts, we believe it is necessary to assess demand conditions in key markets in the second half of the year and beyond, and at this point in time, we are remaining, maintaining our full year forecast as announced at the beginning of the fiscal year. The exchange rate assumptions for the second quarter onwards remain unchanged from the assumptions made at the beginning of the fiscal year, ¥140 per dollar and ¥156 to the euro. That concludes my presentation. Thank you.
Q - :